Dave Gennarelli: Hi, everybody. Welcome to Okta's Fourth Quarter and Fiscal Year 2022 Earnings Webcast. I'm Dave Gennarelli, Vice President of Investor Relations at Okta. With me in today's meeting, we have Todd McKinnon, our Chief Chief Executive Officer and Co-Founder; Brett Tighe, our Chief Financial Officer; and Frederic Kerrest, our Executive Vice Chairman, Chief Operating Officer and Co-Founder. Today's meeting will include forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including, but not limited to, statements regarding our financial outlook and market positioning. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results, performance or achievements to be materially different from those expressed or implied by the forward-looking statements. Forward-looking statements represent management's beliefs and assumptions only as of the date made. Information on factors that could affect the Company's financial results is included in our filings with the SEC from time to time, including the section titled Risk Factors in our previously filed Form 10-Q. In addition, during today's meeting, we will discuss non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for or superior to, measures of financial performance prepared in accordance with GAAP. The reconciliation between GAAP and non-GAAP financial measures and a discussion of the limitations of using non-GAAP measures versus their closest GAAP equivalents is available in our earnings release. You can also find more detailed information in our supplemental financial materials, which include trended financial statements and key metrics posted on our Investor Relations website. In today's meeting, we will quote a number of numeric or growth changes as we discuss our financial performance. And unless otherwise noted, each such reference represents a year-over-year comparison. Also note that the acquisition of Auth0 closed on May 3, 2021, and unless otherwise specified, each reference to Okta refers to the combined company inclusive of Auth0. And now, I'd like to turn the meeting over to Todd McKinnon. Todd?
Todd McKinnon: Thanks, Dave, and thank you, everyone, for joining us this afternoon. We closed out another fantastic fiscal year with strong Q4 results. Our consistent execution was fueled by our market-leading products for both workforce and customer identity, coupled with our relentless focus on customer success. We experienced strength in both core Okta and Auth0, which reflects Okta's position as the leading cloud-native identity management platform addressing the $80 billion identity market opportunity at scale. The three megatrends that are driving Okta's business, the deployment of cloud and hybrid IT, digital transformation projects and the adoption of Zero Trust security and an environment of increasing incidents and breaches are only gaining momentum and Okta is best positioned to capture the market that is moving toward us. And nowhere was the momentum more evident than in our results. I'll start with a quick recap of our Q4 financial results and then get into some of our other notable highlights from the quarter. In Q4, RPO grew 50% and current RPO grew 60%. Total revenue grew 63% and subscription revenue grew 64%. Okta stand-alone total revenue grew 39% and Auth0 revenue was $56 million. We're reaching more customers than ever before. We added over 1,000 new customers in Q4, which was a record. Our total customer base now stands at 15,000 and grew an impressive 50%. We continue to do very well with large enterprise customers. In Q4, we added a record 275 customers with $100,000-plus annual contract value or ACV. These new $100,000-plus ACV customers continue to be balanced between new customers and upsells. Our total base of $100,000-plus ACV customers now stands at over 3,100 and grew nearly 60% in Q4. We also continue to have strong momentum with even larger contracts. We had record new adds of customers with both $500,000-plus and $1 million plus in ACV. We now have nearly 600 customers with an ACV of $500,000-plus and nearly 200 customers with an ACV of $1 million plus both of these groups grew approximately 60%. Our momentum in these large customer wins is a good proxy for our business with large enterprise and government organizations. It's clear that the focus and energy we've put into better serving these largest customers. Here are just a few notable examples of large enterprise wins in Q4, which come from a wide range of industries. Fifth Third Bank, a Fortune 500 company was a fantastic addition to Okta because it included both Okta Workforce and Auth0 as Fifth Third Bank continues on its digital transformation journey, implementing a cloud-first identity solution to support its workforce and its digital banking platforms is critical to their, Kyndryl, the world's largest IT infrastructure provider was a great customer win for both Okta Workforce and SIEM this quarter. Kyndryl has approximately 90,000 employees and was formed from the separation of IBM's managed infrastructure services business, and is a great example of how Okta MERS and hey navigate the complexities of mergers and acquisitions and divestitures. A great upsell in the quarter was with Block the parent company of Square and Cash App. Block had been using Okta for its workforce when the Company needed an identity solution that would support its M&A activity, integrate with its systems and preserve its friends. This quarter, the Company expanded its investment with Okta, as it integrates its recent acquisition of Afterpay. With this expansion, Okta will continue to eliminate agility, allowing the Company to seamlessly integrate 1,000s of employees who will have access to internal applications, while also preserving the Company's branding across its numerous businesses. And similar to last quarter, we continue to see early success in cross selling between Okta and Auth0 customers. A great example in Q4 was Carvana. A fortune 500 e-commerce platform for buying and selling used cars has been a longtime Okta workforce customer, and recognizes the critical role technology to plays in providing an exceptional car buying experience and stopped to modernize access for all users, building on this initial success, Carvana recently expanded the partnership and selected Auth0 to provide its partners and dealerships access to its marketplace platform, which provides Carvana customers with a broader selection of vehicles. I mentioned that we experienced strength in both core Okta and Auth0. So now let's take a look at the split between customer identity and workforce identity in terms of ACV. For this particular metric, the growth rate is inclusive in both comparison periods. Total SIEM ACV grew nearly 60% and now represents a percent of total ACV. Within this, Okta standalone SIEM ACV grew 47% and Auth0's ACV grew 81%. Workforce ACV grew 37% and represented 63% of total ACV. That's fantastic growth across the board. We're still less than one year into the combination with Auth0, and to-date, we've been able to accomplish job number one, which was to maintain the momentum of both businesses. We're even more excited about the future because starting just last month, the go-to-market organization has been unified under Susan St. Ledger's leadership. One Team driven by the relentless pursuit of making our customers successful, selling both, Okta and Auth0, One Team providing customers with market leading solutions to meet their unique use cases. This all crystallized with an incredibly energetic annual sales kickoff meeting that we held in person a couple of weeks ago. There is nothing else in the market today that even comes close to Okta's capabilities and the combination with Eugenio and the team and Auth0 is helping us realize our vision of identity as a primary cloud, deliver best-in-class experiences for our customers and win the SIEM market faster. Now let's talk about product updates. Customers are seeking a cloud first approach to their Identity Governance needs. Last quarter, I mentioned the beta for our new Identity Governance offering. The feedback has been amazing. Diya Jolly, our Chief Product Officer and her team have spent the past couple of months prioritize and enhance the product. This month, we are excited to initiate early access to a limited number of customers as we fortify our go-to-market team and partners with content for enablement. We expect Okta Identity Governance to launch in North America by midyear and globally by year-end. Okta Identity Governance is a natural priority to bring to market scale, as the use cases of modern Identity Governance align well with Okta sales strengths with existing products like workflows and lifecycle management. The opportunity for Okta Privileged Access significant as well. We're making great progress, developing new PAM functionality, and we will have more news on these developments over the course of this year. We'll talk more about both products at our Oktane22 event. After two years of hosting Oktane virtually this year, we're excited to host Oktane in person in San Francisco. To do so, we've moved out the date of the conference to the second week of November, so be sure to mark your calendars. Oktane is all as a fantastic event to connect with customers and partners and share our vision for identity, also a great event to hear from our customers as to why they turned to Okta. Time and time again, you'll hear customers highlight Okta's independence and neutrality. Okta provides our customers the freedom to deploy best of breed applications and does though is deep integrations that other monolithic platforms can't provide or don't want to provide, because of their competing products. Today, identity has become a strategic component of any organization's infrastructure in a world where cloud adoption continues to proliferate. We believe that in a few years from now, there will be just a few primary clouds that really matter inside an organization. Together with Auth0, we are establishing Okta as a primary cloud, and the standard for digital identity. We're doing this by adding more users, more customers, and increasing the use cases we can address, all of which accelerate network effects. Identity is the connective tissue to all of the other primary clouds as it facilitates choice and flexibility while enhancing security and reducing risk and other technologies. In summary, the Okta and Auth0 teams accomplished. There are so many highlights to the year. For example, we surpassed the $1 billion revenue mark, we added over 5,000 customers. We now have nearly 30% of the global 2,000 as customers. We expanded our portfolio of products including Okta Identity Engine or next generation identity platform, which is now generally available. Both Okta and Auth0, Gartner's Magic Quadrant, we continue to attract and retain incredible talent growing our employee base by nearly 80% to just over 5,000. And we made tremendous progress on the ESG plus on the ESG front including our achievement of 100% losses and remote workforce and submitting to the carbon disclosure project for the first time. With further strengthening its market leadership position, we've come quite a long way since spreading I founded the Company 13 years ago. We're proud of the great progress we've made as a team. But as we look ahead, we know we are just scratching the surface of the $80 billion total identity market opportunity. I want to thank our employees, our customers and our partners who place their trust in us every day. Before we get to the financial review, I want to congratulate Brett Tighe on his appointment as our CFO. Brett has been an incredible asset to Okta since he joined seven years ago. He's one of the primary architects of our long-term financial model and has really excelled in both the internal and external facing responsibilities since stepping into the role. Now, here's Brett to walk us through more of our Q4 financial details and how we're raising our outlook for FY '23.
Brett Tighe: Thanks, Todd, and thank you everyone for joining us. I'm excited to officially [indiscernible]. I've seen tremendous growth during my seven years of Okta and we are still just scratching the surface of the $80 billion identity market. I look forward to working together with the team to capture this opportunity. Before I get into the results, I want to take a moment to share my top priorities as CFO. First and foremost is executing against our near-term financial targets as well as our long-term financial goals. I'll detail the near-term targets in a few minutes. Our long-term financial goals anchor on at least $4 billion of revenue in FY '26 with organic growth of at least 35% each year and 20% free cash flow margin in FY '26. To achieve these targets we must continue to scale the Company from a people and processes standpoint including investing in talent across all areas of the Company, as well as in systems to prepare us for the next phase of growth. I'm focused on ensuring that Okta will continue to make the right investments that support our growth. At the same time, we will continue to be prudent with how we allocate capital. My second priority is ensuring that we continue the seamless integration of Auth0 across all facets of the Company. Now that the back office and go to market teams have been fully integrated, we will continue to refine our systems and processes to ensure that the tremendous growth opportunity we see will be realized. We are off to a great start and recognize there is still a lot of work to do. With that, I will now highlight some of the results for the fourth quarter as well as provide our business outlook. Total revenue for the fourth quarter accelerated is 63% driven by a 64% increase in subscription revenue. Subscription revenue represented 96% of our total revenue. On an Okta stand-alone basis, total revenue grew 39%. Auth0 revenue net of $2 million and recognized purchase accounting adjustments was $56 million. RPO or backlog, which for us is contracted subscription revenue both billed and unbilled that has not yet been recognized, grew 50% to $2.69 billion. Current RPO, which represents subscription revenue we expect to recognize over the next 12 months, also experienced strong growth of 60% to $1.35 billion. This strong growth in cRPO was driven by strength across new and existing customers for both Okta and Auth0 as demand for our products remains robust, fueled by the macro trends that have been driving us for years. Total and current calculated billings grew 91%, calculated billings includes the effects of billings process improvements that were implemented at the end of the first quarter of FY '22. Excluding the billings process improvements, calculated billings grew 71%. Turning to retention. Our dollar-based net retention rate for the trailing 12-month period increased to 124%. This was driven by the strong upsell motion we are seeing with our existing customers across both Okta and Auth0 as they expand on both products and users. Consistent with prior quarters, gross retention rates remain very healthy and reflect the value of our products to our customers. As always, the net retention rate may fluctuate from quarter-to-quarter as the mix of new business, renewals and upsells fluctuates. Before turning to expense items and profitability, I'll point out that I will be discussing non-GAAP results going forward. Now looking at operating expenses, total operating expenses grew 81%. The growth in expenses is primarily attributable to the inclusion of Auth0. Total head count now stands at just over 5,000 employees, up 79% year-over-year. Moving to cash flow. Free cash flow was $5 million, which yielded a 1.3% free cash flow margin. The sequential decline was driven by investments we are making to scale the business and were primarily related to higher headcount. We ended the fourth quarter with a strong balance sheet anchored by $2.5 billion in cash, cash equivalents and short-term investments. Now let's get into our financial outlook. The secular market tailwinds in our leadership position in the identity market continue. We're making great progress integrating Auth0 and continue to be prudent and thoughtful about the rate and pace of near-term synergies. This is reflected in our guidance. With that as a backdrop, for the first quarter of FY '23, we expect total revenue of $388 million to sellers, representing a growth rate of 55% year-over-year. Non-GAAP operating loss of $51 million to $50 million and non-GAAP net loss per share of $0.35 to $0.34, assuming weighted average shares up to 155 million. For the full year FY '23, we are raising our revenue outlook by $35 million preliminary guide provided last quarter. We now expect total revenue of $1.78 billion to $1.79 billion, representing growth of 37% year-over-year. Additionally, we expect non-GAAP operating loss of $185 million to $180 million and non-GAAP net loss per share of $1.27 to $1.24, assuming weighted average shares outstanding to 157 million. Included in this outlook are expectations for increased sales and marketing investments to help us capture the large market opportunity in front of us. This includes further investments to build out our go-to-market operations in key areas such as SIEM, international and public sector. Lastly, I want to provide a few comments to help with modeling in Okta. First, for Q1, we expect current RPO to 50% range; second, the billings process improvements that were implemented last year has led to some confusion to ongoing to specific billings commentary on a onetime basis for clarity. We expect Q1 FY '23 billings of approximately $385 million to $390 million. When viewed on a like-for-like basis, Q1 billings growth would be approximately 50% to 52%. For the full year FY '23, we expect billings to be approximately $2.18 billion to $2.19 billion. The FY '23 billings growth rate experiences a headwind of approximately 9 percentage points due to the process improvements impact. When viewed on a like-for-like basis, billings growth would be approximately 35% to 36% be sure to reference the supplemental slide in our earnings presentation, which outlines in this modeling detail. From a seasonality perspective, we anticipate billings in the second half of the year to represent roughly 60% of the full year total, which is consistent with normal seasonality. And finally, we will continue to invest in our growth in FY '23 and beyond. As such, we expect free cash flow margin to be down a few points year-over-year. To wrap things up, we had a great quarter and end to the fiscal year and are extremely excited about the $80 billion market opportunity in front of us. Okta is very well positioned to build on its strong foundation and market leadership position in both Workforce and SIEM which gives us continued confidence in our near-term and long-term outlook. With that, I'll turn it back to Dave for Q&A. Dave?
A - Dave Gennarelli: Thanks, Brett. I see that there are already quite a few hands raised, so we'll right into them and I'll take in the order as they came in. And in the interest of time, please limit yourself to one question and one follow-up question. So with that, I'll go Matt Hedberg at RBC. Matt?
Matt Hedberg: Thanks Dave. Thanks everybody for the time. Todd, maybe I'll start with you, there has been strong results to end the year, first of all. But there's been a lot of questions is on the competitive environment and just the strength of the identity market, which clearly from your results look strong. Can you talk about maybe the importance of identity as we emerge post-COVID? Because it strikes me that there's a lot of opportunity not only for net new but also large replacement deals from some legacy installments?
Todd McKinnon: Thanks, Matt. Yes, we're really excited about it. And this is -- we talk about this a lot, which is -- resonates because it's so true. That the more cloud applications customers want to buy, the more they want to build on cloud infrastructure, the more they want to build better experiences for their customers and the more they want to do it all securely. This shifts the -- this is -- these are huge secular shifts that put the market in our favor because to do all those things effectively, you have to have identity. And it's really -- it's a pretty big shift in technology. 20, 30 years ago, you did identity by getting it as part of another platform. You got your Windows server had identity in it. You got maybe some identity from Oracle or CA, the management crew, the management vendors. But it's different now. And because identity is so prevalent in all these trends and to be successful to successfully get all this cloud technology to your employees to re-imagine your customer experience and do all securely, you have to have an identity system and that's what we're out there offering to customers of all sizes and all. That's why we're having these results. The reality of it is that not everyone knows this yet. If you talk to 10 CIOs maybe three of them would say, hey, this is the future. Identity is the central platform. Identity is one of my primary clouds. It's going to unleash all this potential for me and to keep me more competitive. Only about probably three out of 10 know this. And I bet two of them are our customers. And the good news is that more and more people every day are learning this and people that people that are making technology decisions and they realize that if you want to do Zero Trust, if you choice and technology, you need to do it with identity, and we have the leading identity platform. And so that's what we're focused on, making sure everyone understands that. Specific to COVID and the pandemic, a lot of people ask me about, how has it impacted your business? And I think it definitely had some, I think, some incremental positive impacts as people rush to do remote work. And it had some headwinds as people maybe their own business was -- they're not sure how their own industry is going to be impacted or are they just had other priorities they are working on. They weren't sure about the future. Are we -- our own investment level was a little bit -- we weren't sure about the future, how much we should we should invest, what the environment is going to look like. But I think as now we end the near the acute phase of the pandemic and the world starts to get back to normal from a pandemic perspective, I think it probably maybe had a little bit of a headwind on us. But what's powered our growth is -- are these macro trends. So when I look out in the out years ahead, our priority is very similar to what it's always been. It's like we have to establish this vision of identity as this primary platform. And it's got to both use cases. It's got to customer identity and workforce identity. It's got to get to scale. It's got to meet customers where they're going. And that's why I'm so excited about the SIEM business momentum. I'm excited about the results. Competitively, we don't -- we're not -- we're very, very, very differentiated. We have point competitors that can't -- don't have the scale or the breadth. We have the big platforms, companies like Microsoft, that they have identity, some of the things that look like us but they're not new to us. They're at the end of the day, trying to sell you their collaboration or their infrastructure, and they're not about giving customers choice and flexibility. So that's I think if you unpack the results a little bit, those are just some of the thing that are driving.
Matt Hedberg: Super helpful. And then maybe just a quick one for Brett. First of all, Brett, congrats on the promotion. I'm wondering, from your op margin guide, how much of that is Auth0? And maybe how should we think about the timing of return to sort of more positive margins?
Brett Tighe: Absolutely. Thanks, Matt, and thank you for the -- from the operating margin guide it's really both businesses. But I would say, as a reminder, Auth0 is an earlier-stage business than Okta stand-alone is. And so unit economics that are a little bit less than what Okta is on a stand-alone basis. Now from a long-term perspective, you're probably asking in regards to the long-term framework that we -- we're going to operate the business the same way we've operated the business from day one, which is we've always looked at the Rule 40 and balanced revenue and growth together. When there's a great growth opportunities, we're going to go get them. And obviously, when there's margin offers as well. So, it's something over the long term we've done for years now, and we'll continue to do so in the years to come.
Dave Gennarelli: All right. Let's go to Jonathan Ho at William Blair.
Jonathan Ho: I just wanted to maybe start out with the integration of Auth0 and maybe can you talk a little bit about sort of that sales force integration effort? And maybe where you're seeing some successes [indiscernible]. Thank you.
Frederic Kerrest: Yes. We are -- thanks a lot for the question, Jonathan. We are very excited about the integration of Auth0. We're very excited that it's been done in just under a year from where we are because we actually announced the acquisition a year ago tomorrow. As I think the most important point is the go-to-market organization if we unified under Susan's leadership on February 1. You heard Todd talk about one team, which I think is a great position to be in. We put together a lot of the core systems that we're using to run business. Those are all running on one platform. So we have one period in glass and good visibility into all that and how it's working. There's a couple more pieces we need to finish up in terms of ticking and tying some of the systems on the back end, but those are just making sure that we're working as one organization going forward. And so far, you can see the results. I mean, the results speak for themselves. This is even before we had this one go-to-market organization. We've got great opportunities in these large organizations where we're landing with Okta Workforce and Auth0. We've got these great cross-sell opportunities like Carvana, where they've been a long time of the workforce customer and then became an Auth0 customer. So, I think there's a lot of different synergies that we're starting to see already. As Todd mentioned, the businesses are both going very, very well. Overall, when you look at where SIEM is and how far it's come 6% year-over-year growth about that, but I think we're just getting started in this big opportunity, and that's the final exciting part for us.
Todd McKinnon: Yes. Thank you, Jonathan. One thing I'll add there to Freddy's comments. The strategic reason for this acquisition was that it identity is one of the most primary important clouds in our customers' environments. To be that primary cloud, you have to support both use cases. You have to support workforce and customer identity. And furthermore, the customer identity use cases were really divided between what the Okta SIEM platform does and what the Auth0 platform does. And now Auth0's more developer-centric more, you can customize it, extend it, control every bit and bite. The Okta platform is more pre-integrated and low code. And so the idea is that there were -- these are complementary platforms. And when I look at the results, you see that bear out in the results. You see 81% growth in the Auth0 platform over the last year-over-year comparison, and you see nearly 50% growth for the Okta SIEM platform. So you're seeing two complementary platforms helping us drive toward -- be very successful in this market, which unlocks this concept of being this critical, critical primary cloud for every organization in the world.
Dave Gennarelli: All right. Let's go to Ittai Kidron at Oppenheimer.
Ittai Kidron: And Brett, my question is for you. I want to dig into Matt's question around the operating margin loss target for fiscal '23. I have to say, I mean, a great quarter, but that was certainly a number that caught me a little bit off base. And so, can you give us a little bit more detail on the plans for the year as far as headcount additions? And what is the run rate loss that you expect to have exiting the year? And is fiscal '23 a peak year? I mean, are we finally from here moving into a much profitability? I think some of the comments I'm getting from in business here this year, this was certainly a little bit off base with regards to their core assumptions. So any more color on, clearly, this opportunity, but it could be more specific on where and why and the ROI behind it, I think, hopefully, that will provide a little bit more comfort and behind logic behind it.
Brett Tighe: Absolutely. Ittai, I'm happy to talk about that. So if you think about SaaS business anywhere, right? You got to invest in front of the demand or invest in front of the opportunity in, we really got $1.79 billion guide, which, by the way, we're very excited about in terms of revenue for FY '23. But we've got an $80 billion market out there. So, we feel the best opportunity is out in front of us to be able to invest into that opportunity. So, areas where we're spending a adding quota-carrying AEs salespeople across the board, whether it be sales engineers or areas in pipeline generation, you can see it's clearly a huge opportunity in front of us, and that's what we're going to invest for. We're going to invest. And additionally, we're also going to invest in the product side of the house. When you add this many customers, you've got to be able to support them. So really, it's going to be up and down across the P&L from an investment perspective because we're just scratching the surface. I said earlier in the call, we've got so much upside in this market opportunity that it would be -- it wouldn't be the right decision not to invest into the opportunity because we do see a tremendous amount of momentum in the market today.
Ittai Kidron: Is this a big year? Are we improving thereafter? Is this a peak year?
Brett Tighe: What do you mean by peak year?
Ittai Kidron: As operating loss?
Brett Tighe: Well, I mean I think if you look at our long-term goals that we got out in front of us, right, we've got revenue of $4 billion, growing at least 35% each year between now and then and also the 20% free cash flow target. We are going to balance growth in margin, just like growth in margin, just like we have in the past. And you'll see that period between now and FY '26.
Dave Gennarelli: Okay. Let's go to Andy Nowinski at Wells Fargo.
Andy Nowinski: Congrats on a great quarter. Just have a few questions maybe on your upcoming IGA product launch. It sounds like it might be generally available a little bit later than previously expected. Can you just talk about whether there were any sort of significant changes coming out of that beta test out before making a GA?
Todd McKinnon: The IGA product is actually a little bit ahead of schedule. There might be some confusion on when we talked about it last year, being available in the first quarter of this year? Was it -- were we talking about EA or beta or GA, but the internal schedule, which has been clear along. We're a little bit ahead of that. And the beta, which is going on right now is going very well. We're seeing success with a lot of different sizes of customers. We're seeing really a natural -- it's a natural complement to our advanced life cycle management product with significant new value for customers and new things they can do to automate their business with its access request or access certifications, which is a very, very natural extension of our core product line. So, we're very bullish on that. On the PAM side, I think PAM is actually a little bit behind what we originally thought. And the reason why is because as everyone knows, we're -- our product advanced server access is really, it's in the PAM market today. We're very focused on server admins and server -- controlling access to servers. And we've done a couple of shifts where -- and we've learned a little bit more about the requirements in the PAM market. And we've made some decisions to put some of that capability into the Advanced Server Access product and then put more additional capability, which is going to take a little bit longer in the PAM product. So you're going to see that, that's a little bit delayed, but still we're expecting to make a bunch of progress on that this year, and we'll be talking more about that as the year unfolds and then also leading up to Oktane in the fall.
Andy Nowinski: And then just a clarification, did you include any contribution from the IGA solution in your revised annual outlook given that it will be GA and midyear, I think you said?
Todd McKinnon: No. It's making a very, very conservative assumption that it won't have any contribution there.
Dave Gennarelli: Next go to Adam Tindle at Raymond James.
Adam Tindle: Okay, Todd, I just wanted to maybe take a step back on the fiscal '23 plan. You talked before about going through a strategic planning process into this, the different outcomes that you considered. I'd imagine that you had some that were involving showing consistently improving ability, for example, and maybe the flip side of risks to a more profitable growth plan and what got you comfortable deciding on more aggressive spending near term?
Todd McKinnon: Yes. I'm happy to give you color into that. It's -- I'm kind of laughing a little bit because it's actually pretty simple the way we think about it. And we've been consistent on this over the last five or six years, which is that we look at our internal efficiency of our investment across the business, whether it's mostly the most direct link between investing and payback in terms of new revenues in sales and marketing. So we just look at that efficiency. And as long as we can continue to drive up efficiency, we continue to invest. We're always going to be -- we're never going to burn cash, and we want to increase cash flow over the long term, we want to increase the free cash flow margin to that stated goal of 20% over time, but we're going to make sure we're efficient. And so we can grow, we can serve customers. We can make them successful. We can take market share and we can do it in this -- under this efficiency framework, we're going to do it. So it's been relatively simplistic. So the main things are, how is the efficiency internally, how's the growth rate? And what's the market? How is the customer success and that's what can we do to capture the opportunity.
Frederic Kerrest: Yes. I would add to that a little bit. First and foremost, we've always had a bias towards growth. But we always look at efficiency and always managed on a rule of 40. And so the guidance you've seen today and the commentary earlier in the call, still reflects that we are definitely managing at a rule of 40, and we believe that's the right thing to do to go capture the opportunity on France because it is a massive one in front of us. So, we feel that the time is right to go and grab as much market share as possible.
Adam Tindle: Makes sense. And Brett, for you, just wanted to marry sort of the qualitative commentary versus the quantitative messaging here. Qualitatively, we're seeing a lot of acceleration in large customers. The demand environment is incredibly healthy. You're investing in public sector. In the past, you've talked about focusing on cRPO as a key metric, and it was growth in the past, and that was kind of an indication of acceleration in, but that's starting to invert based on your guidance and just wondering if it could be the case in how cRPO should track for fiscal '23?
Brett Tighe: Thank you for bringing it up. I'm so happy you brought up current RPO. It's my favorite metric, which you can see clearly was a strong quarter in Q4. And the guidance we've given you today of low to 50% range for current RPO in Q1 is also quite a strong guide. And so if you think about the impact on the fiscal year '23 revenue guidance, the combination of those two factors is translating directly into that increase of $35 million up to $1.79 billion, growing 38% year-over-year at the top end of the guidance.
Dave Gennarelli: Next, we'll go to Eric Heath at KeyBanc.
Eric Heath: Great. Congratulations. So Todd, Brett, I did want to ask on the quarter on Okta stand-alone. I think most of your peers showed some acceleration this quarter. It looks like Okta stand-alone decelerated maybe one point. So just anything you called out in terms of the quarter that might have been a little bit softer than you might have expected?
Todd McKinnon: Yes. We're very excited about that 39% Okta stand-alone revenue growth. So Eric, thanks a lot for bringing that up. When you look at the size of the business, I mean, the workforce business is already 63% of the total business. It's a $1 billion business significantly year-over-year. You add in what's going on the SIEM side of the house, and we're very pleased with that as well. So we look at the business holistically at this point. Obviously, there's a big opportunity. That's going to be a very nice business for us in the years ahead. You had -- you can hire account executives who know how to sell enterprise IT, they know where to go find it. There's a lot of legacy Oracle, IBM, CA, RSA that over time, we're just going to slowly rip and replace. Obviously, our dollar-based net retention continues to be 124% up from $1.22 last quarter. And that's because our motion of landing and expanding inside these large organizations is going very well. And so on the workforce side, that business is going to continue to go very well. That's why you see us coming into these natural adjacencies of IGA and TAM. It's not as that we're sitting here and wondering what we should be building next. And a lot of that is customer demand. Todd talked a little bit about IGA and the early access this month to a limited number of customers. I mean that's going to launch in North America by midyear, globally by year-end. And that's a natural priority for us, which aligns with a lot of what we're doing around workflow and life cycle management. And then when you think about customer identity access management, I mean, that market has gone from zero when we went public five years ago to a $30 billion TAM today, where we are the clear leaders with the only cloud-native identity management platform, whether you're looking for a developer up or you're looking for tops down. And that's why you're seeing in that business, but you almost 60% year-over-year growth of that. And that -- the competitive landscape, which we haven't really talked about, it's all greenfield. I mean the opportunity is just helping customers be successful and they have a shortage of developers. They need to focus on their core businesses. The more we can make it easy for them to just take identity off the shelf and put it inside their applications and infrastructure, the better off they're going to be. And we see that as a huge investment opportunity back to the previous question. So, we're very excited about the overall growth in the business. If you told me when we started that we'd have this business today of 5,000 employees being on almost $400 million revenue quarter, growing 63% year-over-year and accelerating, I would have taken on the heartbeat. What I would tell you though, Eric, is we're very excited about 315,000 total customers. We're very excited about adding a record 1,000 last quarter. It should be 50,000 and 100,000 and that's the exciting opportunity for us ahead.
Eric Heath: That's great. And then just one follow-up on that point, I mean, great to see the large customer adds in the NRR. So, any way we should kind of think about the change to the formula for in terms of large land versus expansions, maybe what effect it might have on the NRR rate?
Frederic Kerrest: Yes. I mean what I would say is, we have continued success with large enterprise. Obviously, we gave everyone, I think, in April of last year when we had Investor Day we gave everyone an update on over $500,000, over $1 million ACV customers. I mean those numbers now are almost 600 and almost 200, respectively. I think that's growth to about 60% year-over-year compared with 50% year-over-year in the G2K are now customers. Todd talked a little bit about some examples early on. I mean that's great. But again, I think the opportunity ahead is the really big one. Look, when you come out with these new products, things like IGA that are critical to our organizations, it's not about the 2,000 companies maybe today that are using an on-prem IGA solution. It's about the next 25,000 and 50,000 who want that kind of functionality and are never going to implement an on-prem legacy product from yesteryear. They're looking for a modern cloud solution. Same is true with PAM. You look at advanced product I mean, Zoom for this very webinar that we're on right now. They use Advanced Server Access to protect all of their production structure for all their servers around the world. Those are the kinds of future opportunities starting when we think about where we're going and how we're going to get there. Absolutely, the landing expand is very good. Historically, we've talked about a 115% to 120% range. I know it's ticked up over that. I'm really sorry. I know when it gets bigger, that means that we're cross-selling and upselling too much. I know when it goes down, people are upset that we have so many new logos. So we're doing the best we can to happy about where we are, and I think it shows a very good approach to helping customers be successful with our solutions.
Dave Gennarelli: Great. Let's go to Alex Henderson of Needham.
Alex Henderson: I wanted to go back to the PAM commentary. My understanding is the PAM, the only thing you can time of launch was on the governance side. Can you give us any clarity on when you expect the PAM products to launch and how we should be thinking about that in terms of the timing to get to market?
Todd McKinnon: It's an important area for us as we expand on the workforce side of the house to expand what the platform can do. If you look at what customers are -- more and more customers are building software themselves, which means they have critical servers and containers and things they need to secure to do that than the leading access management platform mapped to those resources. And that's what our Advanced Server Access product is a customer like Zoom can get tons of value at it as they have to manage of thousands of servers and many, many operations people and developers access them in a secure way, which by the way, which is remote, right, because they don't want to go to the same office and access to dedicated data center. It's in cloud data centers and remote work. So identity platform like Okta is really well positioned to provide value there. In terms of the expectations in terms of the financial results, we have taken a very conservative assumption this year that PAM is not going to contribute revenue this year. But it is an important area we're working on. And what we're doing is we develop the product is we're balancing out the existing product and what capabilities we add into their -- and then what capabilities do we put in the PAM module and how we balance those out. We made the decision to put things like managing active directory based server to put that into ASA. So, it's taking that a little longer. So the PAM is going to be -- PAM module is going to be pushed out a little bit. But yes, we'll be talking about more details in terms of when it's going to be available to customers in a -- there's no -- for this year, there's no dependency there.
Alex Henderson: So, we're not -- you don't have a date for the launch of that product at this point. The second question I had for you is on the operating spending. I really was trying to get a handle on what rate of staffing capacity you're adding specifically to the sales capacity. Obviously, the spend is up substantially. You're more -- much more aggressive. Is the capacity adds setting up not just for this year, but for next year, coming in at close to a 50% increase in sales capacity reach?
Brett Tighe: Absolutely. Alex, I'll take that one. You sound like you know our business, obviously, clearly very well. Whenever we're building capacity, we're not building right? So we've historically built capacity in the year for the following year. And so we're going to continue to do that, and that's '23. And when Todd talked a few minutes ago about our sales efficiency, that's something -- what's the right balance here to add as much as we possibly can while also balancing that efficiency level as we go after this market.
Alex Henderson: Is that 50% number reasonable?
Brett Tighe: Yes, I'll let you draw your own conclusions, but we're trying to grow as fast as we possibly can.
Dave Gennarelli: All right. Let's go to Rob Owens at Piper.
Rob Owens: Curious around Auth0, any high-level guidance as we think about next year? I know you're going to tell me we're not going to break it out for you. That being said, anything with regard to seasonality and kind of how should we think about the growth of that in SIEM overall?
Todd McKinnon: Well, I think the -- we're investing a lot in making sure Siam is successful. And the proportionate investment is a lot of that's going to Azure, but we're also investing a lot in the Okta SIEM platform. So it's a big strategic important thing for us. And you're right, we're not going to break out the specific expectations around growth rates beyond the guidance we've already given. But if you look at the top three priorities for the strategic plan of the Company next year, number one is winning that market. And you can imagine that has a lot of importance and priority based on being successful with the developer motion of so Auth0 but then also broadly speaking, growing the SIEM business aggressively. It's a big -- if we want to execute on this vision of a primary cloud, like I've said before, you have to provide both. You have to be the leader in workforce and the leader in SIEM and we are the leader in Workforce and we're making sure top strategic priority we have as a company.
Brett Tighe: And Rob, this is Brett. Well, going forward, we're going to continue to bring out work for a regular basis like we have in the past. So, we'll definitely keep everyone informed on the progress in both markets because they are obviously both are very important to us.
Dave Gennarelli: All right. Next, let's move to Adam Borg at Stifel.
Adam Borg: Maybe just on the channel business. I'd love a quick update on the overall channel strategy in the quarter. And maybe just as a quick follow-up. I know Auth0 more of a bottoms-up sale to developers, but I was just curious what kind of opportunities there are to get the channel more involved with Auth0?
Frederic Kerrest: Thanks, Adam. Yes, we are very excited about is in general and the channel specifically. When we think about channel, there's obviously a lot of different constituents, many of who have been involved with large organizations for many years, helping them, whether it's on the security side of the house or digital transformation side of the house. Everything from the large accounts resellers to value-added resellers. There are regional and partners out there, there's obviously the global systems integrators. And then there are the large platform players out there with channel. I mean when you think about the large system integrators Kyndryl that Todd mentioned earlier is a great example. I mean this is an IT infrastructure provider formed from the separation of IBM's managed infrastructure services business. These are the folks of IBM and services, 90,000 employees. They came from IBM. They started a new company last year. And they didn't go with IBM. They went with Okta. Now part of that was they want to use Workforce. Part of that is they want to use SIEM but also they said, hey, a big part of this is we want to get used to and understand how this works because this is the platform that we want to go and integrate for our customers going forward. And so when you're starting to get that kind of reach and that kind of scale out of the gate, that's a big deal for a company like ours. Obviously, we're very excited about the results and 5,000 employees, an amazing team. It's growing very fast. And we talked a little bit about the sales organization. Organizing it as one unified team with Auth0 and that's all going very well, but when then, when you add in almost 100,000 employees at the number one service provider in the world, that's a huge kind of reach, number one. Number two, when we think about what's going on out there, independence neutrality, the freedom to deploy best-of-breed technologies, that's what customers are asking for today. And that is what is driving our business. And so that's why things like our partnership with AWS, for example, where we're the only managed identity provider. I mean they have 9,000 reps. Those reps get paid commission and quota credit on selling Okta. The same is true when you think about what's going on at Google where you think about the large Software as a Service providers, whether it's Salesforce or Workday or Service. Now, I mean they're all joint customers of ours and they bring us into all these deals because we make their solutions get deployed much more quickly and successfully. So for us, the channel is really this whole world around us of -- the world is going to more independent, more neutrality, and there's a lot of people who have an aligned interest with us on making their customers successful by that. So we're very excited about that. When it comes specifically to Auth0, they have this amazing model developer up. That was the second part of your question. I think. They have this amazing model and developer up where they do a lot of landing they've got thousands, tens of thousands of free accounts, tens of thousands of developers paying credit card monthly and then they upsell them into the enterprise. That's something that we're just putting all together as well. I mean we just have the go-to-market organization as one as of a month ago. So we're just starting to understand really how all of that works. But yes, I mean, that's another huge opportunity. I mean you could think of developers as a channel. They are using it and they're recommending the best solution and you can see the by the tens of thousands of successful and happily deployed developer and three accounts on the Auth0 system that clearly, that's working very well. So yes, I mean, there's a lot of opportunity, it's early days, but we're very excited about how that might work and working with a lot of perspective customers successful.
Todd McKinnon: Yes. One more thing I'll add too is Auth0 before -- four quarters ago, didn't have a huge presence with the global SIs. And with -- now that they're part of Okta, we're really working on getting it in the hands of the global SIs because what do the global SIs do? They want to build stuff. They want to build digital transformation projects for their customers. And what do you need to do that? You need a data platform for developers. So that's a big area of boost, I think, in terms of our relationship with the global systems integrators have an offer to work with them on.
Dave Gennarelli: Great. Well, I still see nine hands raised. We're getting short on time, so let's try to keep [indiscernible] at BTIG.
Unidentified Analyst: I'm on for Greg. On IGA and PAMA, I know you said that -- they're not really baked into the guidance, but how should we think about the potential for them once they go be? And then how quickly should they contribute to billings once they go live?
Todd McKinnon: There -- I think about this long term. It's -- they do two things. One is that they allow more value from, so you can -- it's basically upsell value. And also, it's just going to -- it's going to it provides a broader set of capabilities. So it just tips over the center the mass that it takes some of these big older companies to adopt the new identity stack. So if you're going to -- many customers adopt a new identity stack a piecemeal one by one. And that's how Okta traditionally has been very strong. It's very -- you can take it as a component. You can then slowly expand over time. But as we build out on the workforce side, the entire suite, the PAM, IGA in broader workforce capabilities, access management and the other management, what we do the -- it's just going to become really overwhelming the value and it's going to lead to more, I think, big new lands as well. So they've been having this suite of products is going to help both there. In terms of the pace of bookings contribution to a vent real detailed so I can't really speculate on that.
Dave Gennarelli: All right. Let's go to Trevor Walsh at JMP
Trevor Walsh: Todd, you mentioned at the outset around kind of some of the key drivers, one of those being Zero Trust initiatives. Can you give us a little bit more detail of how in the field that plays out around those engagements? And maybe this is a good one for Fred to chime in too, just in terms of -- is it a broader RFP where there's kind of the network component, the identity component you're all come have they kind of made their choices and then they're bringing an Okta kind of after the fact to layer in that piece. What does that -- what does it look like in those -- when a customer has that is the kind of main focus is the why they're bringing the identity piece?
Todd McKinnon: I think that there's -- I would divide it in two camps of customers. One is customers that are really trying to nail down what it means to that, what Zero Trust means and how they get there. And for those customers, you see them making more of a traditional identity management decision, where it's they think about, okay, we need to do maybe multifactor authentication. We need to have ease of apps or we want to provision some apps on the back end, it's more traditional. And then it's helped them say, hey, here's the road map or here's the blueprint how you get Zero Trust. And now that you've made this identity as you need it and they can look at our integration network and the 7,000-plus pre-integrated systems, and we can help them guide down that Zero Trust journey. There's another, I'd call them a more advanced set of customers that they know what they want for Zero Trust and they're coming to leaders like Okta, leaders like Zscaler, leaders like CrowdStrike. And they're saying, these three components are what's going to give me my Zero Trust together, we're going to buy it together. I've been working on big, big accounts with the teams from Zscaler and CrowdStrike. There's other players as well, but the three have been having some success together.
Frederic Kerrest: Yes. Just adding some specific examples. I mean I think north of 80% of the Global 2000 now have stated initiatives around Zero Trust security. Very good examples for us are FedEx, which is a very good successful happy customer. We've been working with them for a couple of years. They started -- really wanted to deploy Okta very quickly when COVID hit two years ago. They had a much longer rollout plan, but they fast ported it. And when we went down and met with them originally, I mean, they had on the whiteboard. This is a Zero Trust initiative. That was their initiative that Okta was baked right into the middle of. So certainly, I think you're seeing a lot more of that. And then what is OMV? OMV is now recommending to all federal government agencies that they need to have a Zero Trust security. So it's really gone from a buzzword three years ago where people are like, yes, Zero Trust but I am not what to do about it to now we really have the architectural documents where you can present templates to customers and say, this is what organizations like yours in your industry or of your size and scope and scale are thinking about. And I think that's provided a lot of value to customers out of the box because they feel like, this is great. I am not the guinea pig anymore. There are other very good examples. They're public, they're referenceable, and they're working very well. So yes, I mean, I think that, that is a big underpinning of what's also happened over the last couple of years, and I expect that to continue in the years ahead. I mean that is a long, big durable growth factor that we see ahead for sure.
Dave Gennarelli: Let's go to Taz at Guggenheim. Taz, you're on mute? No. All right. Hamza, we're going to go to you. Morgan Stanley.
Hamza Fodderwala: Hey, guys. Thanks for taking my question. I am glad I'll have your official appointment. Look forward to seeing you all next week. Todd, maybe a question for you. So if I look at the bookings growth for you and some of your peers as well, it seems to be a lot more backend loaded than it has even in prior years. I'm curious, as we return to the office or, I guess, some semblance of normality, are you seeing some of those larger like strategic digital transformation initiatives start to come back? And is that starting to contribute more to your bookings? And how would you characterize the pipeline going into '22 relative to how you were feeling going to '21?
Todd McKinnon: Pipeline is strong, very excited about the pipeline. It's quality, depth, maturity, it's really, really good. I can't -- I think the backend question, it does -- I don't actually have the analysis in front of me, but it didn't seem any different this past year that had been in previous years, just from a kind of a qualitatively perspective. And I think that your question about the big digital transformation deals. I think that the broad, if I were to paint with a broad brush, I would say, these things are there. Maybe during early parts of the pandemic, they were put on hold as more people went after really tactical remote work to people productive. And then pretty soon after that started rolling again, like these big customer identity projects or these big, big new initiatives that weren't a specific reaction to employees working for or business continuity. And that's been -- that probably ran through and through all of last year and continues into the pipeline into next year.
Dave Gennarelli: Okay. [indiscernible]
Unidentified Analyst: All right. Thank you very much for taking the question. I appreciate it. Brett, congratulations from me as well to it, I am certainly looking forward to it. Yes, I was wondering maybe for Todd as well. If you could speak to some of the organizational changes that have happened, particularly at the top end of the Company, I know we had you last month, you were super excited about integration of the sales forces and see kind of Susan running and looks like Eugenio is handing the baton off for the Auth0 team, and it looks like you had some changes in our seat as well. So just if maybe we can sense of that a little bit to see how you're aligning things and how the culture between the two organizations is maintained as you are trying to be very careful in making sure that you maintain that momentum with the Auth0 franchise.
Todd McKinnon: Yes. Eugenio is just -- I want to be clear. He's the CEO of the Auth0 product unit. So, he doesn't have sales working for him anymore, but he has basically everything else, whether it's R&D, whether it's customer success, the -- much of the demand gen. So it's a very important, significant role. What we're getting is we're getting synergy on it, really on the sale side. So we have all of the Okta reps now can sell all the products. So we increase the capacity, we compete -- can we increase what they can actually sell. So, there's tons of upside from that. But Eugenio has Auth0 product unit driving that. They just delivered -- you heard the results. They delivered over 80% growth, and we expect them to produce a lot in the year ahead. The other changes, I mean, Brett is a big appointment for us. I -- as you would expect, when we decided to make a change in the CFO, I went out and talked to many, many, many candidates and looked everywhere and no one could get over the bar -- the high bar that Brett has said. So I'm very excited to get to get Brett in the seat permanently. That's really exciting. I'm also really excited about the CMO, John Zissimos. He's off to a great start. That was a little bit of an unexpected change there. His predecessor -- it wasn't necessary as we would have hoped for. It was a little bit unexpected, but John's stepped into the role, and he's doing a great job. So I think some of the change is unexpected, but a lot of the changes directly involved with what we're trying to accomplish, which is when the SIEM market scale this company outgrow aggressively. And I'm very, very excited about the future ahead of us.
Dave Gennarelli: Okay. We're going to go into overtime a little bit here, but we'll try to get to a couple more. We'll go to Patrick Colville at Deutsche Bank.
Patrick Colville: Congratulations to Brett. So let me ask another question about margin. But I'm going to shake it up a little bit and ask about subscription gross margins. They were down this quarter 150 bps. Is this due to mix? Is it due to discounting? Is it just a competition? So can you talk to that? And then how should we model this line for fiscal '23? What's baked into your operating margin guidance? Is there continued ablation on the subscription gross margin line?
Brett Tighe: Yes. So thank you for the question. Thank you for the kind comments. Around gross subs gross margin in Q4 and also into FY '23, that's us investing the upside back into the business, right? We want to be able to prepare for future growth. You can clearly see the items in the CRPO results from Q4 and then my commentary around Q1 cRPO growth as well. So, it's us putting money back in there and ultimately investing to be able to deal with the demand out in front of us. So, in terms of being more specific on FY '23, there is probably a bit of a headwind on such gross margins. That's one of the areas that we're investing in to get out and capture this massive market in front of us.
Dave Gennarelli: Let's go to Rudy Kessinger at D.A. Davidson.
Rudy Kessinger: If I look at I think last time you gave the growth rate in Q2 was 63% year-over-year. And then this quarter, 81% year-over-year. So a pretty big acceleration in Auth0, how much cross-selling into the Okta installed base, how much has that been a driver versus just core strength in new customer acquisition and upsell within the Auth0 base?
Brett Tighe: It's really been both, frankly. You can see in some of the references we've talked about today. It's really a strength in the market from just Auth0. You also heard about even in prior quarters where some Okta customers may not have been as comfortable with a private company, but now Auth0 is part of the public company umbrella of Okta. And so, you see it helping on that end. And then I would also argue, there's helped going in the other direction as well, right? So Auth0 customers who may not have had a Workforce solution, that's also been helping us as well. We've mentioned a few of those references last quarter in our earnings script as well as today in some of the prepared remarks.
Dave Gennarelli: Okay. Let's go to Josh [indiscernible] 
Unidentified Analyst: Thanks for taking my question guys. Just a high-level one for me. There was a stat out in February that only 22% of Microsoft Azure Active Directory customers have MFA and that kind of struck me is pretty low. I'm just curious, how does that compare to customer base? How do you guys think about the broader MFA opportunity? And do you guys expect any tailwind to your MFA business now that Salesforce has mandated product?
Todd McKinnon: I think the opportunity is big for MFA. We talk a lot about these advanced customers that are -- have figured out the Zero Trust architecture and are strategically picking vendors. Freddy mentioned FedEx, but many, many customers are still doing what some people consider relatively basic things like adding MFA, other environments. And many of the hacks you see are still basically things like accounts aren't locked it down when they should be or disabled or there's an easy to compromise account that doesn't have multifactor authentication. And the reason why it's not because people aren't trying hard or they're not smart. It's because it's been too hard. And what we do is we have this pre-integrated solution that you can connect it all you applications and you can set up our MFA and even set up other MFAs connected to the Okta platform. It connects to everything. The platform is doing very well, and it can let you do your multifactor from Face ID or Windows alone and customers are using it. But that's -- it's a big part of the strategy to help our customers be more secure with technology.
Dave Gennarelli: Okay. Last, we're going to bring it home with Fatima Boolani at Citi.
Fatima Boolani: Thank you for squeezing me in. I appreciate it. Brett, this one's for you. I'll keep it tight. You didn't mention sort of process improvement. I'm assuming it's sort of a nonissue here. But can you just update us that you've mechanically sort of achieved all of the sort of time stamping on the contracts? And if the entire installed base has been sort of recalibrated under the operational process improvements umbrella? And then relatedly, how should we think about billings and cash flow seasonality for fiscal '23 as we lap some of those compares working through the year? And that's it for me.
Brett Tighe: Yes. Absolutely. So yes, I mean, the process change has been fully implemented, so the entire customer base is on it. I mean, now granted not everybody is out of billing since then, but the entire customer base is on there. In terms of billing seasonality, we expect about 60% in the back half of the fiscal year, which is normal that we've seen over the last few years. And then free cash flow will follow more or less the same historical seasonality that we've had in the past. So, not really much different in terms of billing seasonality, nor free cash flow seasonality.
Dave Gennarelli: All right. That's it for today, folks. Thanks for tuning in. Before you go, I want to let you know we'll be at attending a few investor events this quarter. We'll be at the Morgan Stanley Conference, which is in person in San Francisco on March 8. There's also the Daiwa Investment Tokyo conference that we'll be attending virtually on the 8 as well, and the Wolfe Research Software Conference that will attend on March 23. So that's it for today. If you have any follow-up questions, you can e-mail us at investor@okta.com. Thanks.